Operator: Good day and welcome to the Ondas Holdings Inc. Third Quarter 2025 Conference Call. All participants will be in listen-only mode. After today's presentation, before we begin, the company would like to remind you that this call may contain forward-looking statements. While these forward-looking statements reflect Ondas' best current judgment, they are subject to risks and uncertainties that could cause actual results to differ materially from those implied by these forward-looking statements. These risk factors are discussed in Ondas' periodic SEC filings and in the earnings press release issued today, which are both available on the company's website. Ondas undertakes no obligation to revise or any forward-looking statements to reflect future events or circumstances, except as required by law. During this call, Ondas will refer to certain non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with generally accepted accounting principles. A reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures is shown in our press release issued earlier today, which is available at the Investor Relations section of our website. This non-GAAP information is provided as a supplement to, not as a substitute for, or as superior to, measures of financial performance prepared in accordance with GAAP. However, management believes these non-GAAP measures provide investors with valuable information on the underlying trends of our business. Please note this event is being recorded. I would now like to turn the presentation over to Eric Brock, Chairman and CEO. Please go ahead.
Eric Brock: Well, thank you, operator, and good morning. I want to get started by welcoming everyone to our quarterly conference call. We appreciate you joining us today and for your continued interest in Ondas. I'm happy to be joined this morning by key members of our leadership team, including Neil Laird, our CFO, Oshri Lugasi, the Co-CEO of Ondas Autonomous Systems, Meir Kliner, President of OAS and the Founder of Aerobotics, and Markus Nottelmann, the CEO of Vantas Networks. So let's turn to the agenda. We'll begin the call with a review of our key highlights from 2025. Then I'll hand the call to Neil for a financial review of our Q3 2025 results. After that, we'll provide business updates for our OAS and Ondas Networks business units, we'll ask Oshri, Meir, and Markus to share commentary on current business activity and progress against our plans. During our OAS business review, we will also share some context on the progress of our strategic acquisition program. And we will also hear from Tal Cohen, the Founder and General Manager of Centrix, who's joining the call to share some insight into the Centrix technology platform and business as well as a strategic fit with Ondas. After the operational updates, I will share an outlook for the remainder of 2025 and beyond as we continue to see strong execution on our growth strategy, and further momentum into 2026. Then we will wrap the call and open the floor for investor questions. Let's start by setting the stage for today's discussion. Simply put, Ondas is positioned for success. That positioning wasn't luck. It's the result of years of hard work, discipline, and planning. We've earned it, as have our investors. We've built a strong foundation through talent and perseverance and again, through the support of our investors. And now we find ourselves at the heart of an industry-wide transition. The autonomous and unmanned systems defense and security markets have reached an inflection point, moving from technology development to platform adoption. As we said many times, the market from here will be defined by scaled operating companies, not by those simply introducing new technology platforms. Innovation and technological advancement remain critical, but they're not sufficient on their own to create high returns on capital and equity value. The winners from this point forward will be those who can leverage the extraordinary advancements in autonomy, unmanned systems, and physical AI to build durable, efficient, and scaled businesses. That's exactly what we're doing at Ondas. We're demonstrating platform adoption and validation across both our Optimus and Iron Drone systems and with the new technology platforms we are layering in at OAS. We're benefiting from strong market demand. While seeing firsthand the beginning of what we believe is a major counter-UAS boom where Ondas is extremely well positioned to win. In July, we laid out our core plus strategic growth plan and the response has been tremendous. Truly a mandate from our investors to execute. Immediately demonstrated execution on that plan. We are doing what we said we would do. Because we've been planning for this transition for years. This plan creates value across the board. For our customers, partners, and the incredible talent driving Ondas' growth. It, of course, creates opportunity and long-term value for our investors. A key enabler of that success will be our balance sheet strength. We've raised approximately $855 million since June to support our growth plan. We believe Ondas now has one of the strongest balance sheets in the industry, giving us access to a deep capital pool and a meaningful cost of capital advantage. Access to low-cost capital is a foundation of a true competitive advantage, one that allows us to move decisively, scale efficiently, and lead confidently in the fast-growing markets we are attacking. To support the coming boom in autonomous unmanned technologies, the industry needs scaled leaders, companies capable of operationalizing the technologies that have been validated in the field. Ondas is focused on that exactly. And again, deliberately executing the growth plan that we laid out in July. Now let's turn to the overview. Momentum continues to build at Ondas, and I'm very pleased to report that we delivered another record quarter. Not just financially, but also operationally. In the third quarter, we generated $10.1 million in revenue, a more than six-fold increase year over year, up nearly 60% sequentially from Q2. Our consolidated backlog grew to $23.3 million, more than double where we started the year, and that number reaches over $40 million when including another $18 million related to acquisitions that have closed or pending closure in the fourth quarter. We expect our backlog to grow through 2025 as our pipeline matures, given the strengthened visibility on customer order plans. Given the strength of our execution and our expectations for strong market demand, we are raising our full-year 2025 revenue target to at least $36 million, which means we expect to generate more than $15 million in revenue for Q4. We are also establishing a goal for at least $110 million in revenue for 2026. The outlook for Q4 and 2026 is being driven primarily by OAS, where we continue to expand with existing customers and add new ones. Our customer pipeline is expanding and maturing, and we expect a strong end to 2025 from an order standpoint, which supports our outlook for significant ongoing growth in 2026. The OAS team is building the operating infrastructure to support a multiyear growth outlook. We're scaling production, fuel services, and sustainment capabilities to meet accelerating global demand for our autonomous and unmanned systems. Oshri and Meir will share more details on the investments we are making in scaling operations. At the same time, our strategic growth program is accelerating. This is the evolution we've been planning. Moving from standalone technology platforms towards a system of systems model that unites air, ground sensing, and communications into an integrated autonomy ecosystem. The evolution enables a faster path to operational maturity, and we believe unlocks significant upside to both revenue and profitability. To further maximize the opportunity ahead of us, we established Ondas Capital, which we launched in the third quarter. Ondas Capital is building a technology bridge from Ukraine to The United States and allied European nations. Focused on scaling combat-proven unmanned and dual-use technologies into production and commercialization. This initiative broadens our reach, strengthens our industrial base, and supports the growing alignment between innovation, security, and economic resilience. Meanwhile, Ondas Networks continues the hard work to drive adoption of its point six zero wireless connectivity platform. As Markus will share, the AAR's wireless communications committee formally selected DOT 16 as a wireless roadmap standard for all AAR-owned frequencies. Including the 900, 450, and now 160 megahertz networks. While the hard work will continue, this formal designation validates our long-term strategy and continues to position Ondas Networks as a center of a generational upgrade cycle for railroad communications across North America. Finally, from a financial standpoint, the company remains exceptionally well-capitalized. We raised approximately $855 million in equity in 2025, providing the capital strength to support our business plan, including both our core operations and our strategic initiatives. We are investing this capital to accelerate growth and shareholder value creation as we said we would. To summarize, Ondas is positioned for continued record growth through the balance of 2025 and into 2026, and we continue to build what we believe is an important and valuable defense and security technology company. I want to now provide some context for the critical objectives defined within our long-term business planning. What you see here is a continuation of the strategic roadmap we've been building over the past year. A roadmap that's now delivering real tangible results. Ondas today is no longer just a developer of market-leading technologies. We are building a scaled operating platform that connects world-class talent, technology along with partners, and customers into a unified growth engine. At the center of this effort is Atlas Autonomous Systems, where we continue to build the core OAS operational platform. Under Oshri's leadership, that platform is scaling rapidly, supported by seasoned executives, an impactful cross-functional advisory board, and a growing ecosystem of partners across technology, sales, and production. Oshri and Meir will share more details on the operational infrastructure we are building later in the call. Over the last several months, we've expanded the scope of our capabilities through strategic acquisitions and investments that strengthen our operating foundation and extend our reach across multiple domains. We entered into a definitive agreement with SentriX, which will bring advanced cyber over RF drone detection and mitigation to complement our Iron Drone Raider. We added the Paral Motion, which expands us into unmanned ground systems, robotics, and fiber optic communications. And we acquired Forum Defense, a leader in subsurface intelligence and demining robotics that brings a new dimension to OAS' economy portfolio. Other smaller yet strategic acquisitions that contribute engineering, AI, and optics expertise were added, and that includes SPO, Zico Engineering, and Insight Intelligent Sensors. At the same time, we formed a strategic partnership and made a minority investment in RIF Dynamics, whose attributable drone platform and leadership in European defense markets position us perfectly to capture new opportunities in allied regions. Taken together, these additions create a growing portfolio of capabilities that make Ondas a more complete and competitive company, spanning air, ground sensing, and communications technologies. And as we expand this platform, we're also expanding our talent base, customer reach, and partner ecosystem, each one reinforcing the other. This creates true operating leverage, which we believe will drive faster growth, stronger margins, and higher profitability as we scale. And the speed at which we do this is very important. The key message here is that this is not just a compilation of technologies and corporate entities. We are building a scalable, unified service delivery platform designed to service demanding customers and use cases, importantly, accelerate revenue growth in our path to profitability, building a stronger, more diversified Ondas, one capable of sustained performance, multi-domain leadership, and meaningful long-term value creation. Now let's turn to Ondas Capital. We are very excited to have formally launched Ondas Capital, which represents a powerful new strategic growth platform for the company. Ondas Capital is a multiyear initiative designed to deploy $150 million to accelerate the transition of battle-tested unmanned and dual-use technologies from Ukraine and other allied nations into trusted U.S. and European production. The mission is straightforward, to scale proven technologies in unmanned systems, AI, and dual-use innovation that are already validated in the field and ready for production, whereby Ondas and our partner ecosystem can drive faster, more cost-effective deployment across the major defense and security markets in the U.S. and Europe.
Neil Laird: We
Eric Brock: This effort is not just about capital. It's about building an industrial bridge between innovation and deployment. By integrating investment, production, and market access, Ondas Capital will help drive commercialization of critical defense and security technologies, strengthen the Allied industrial ecosystem, and create meaningful long-term value for our shareholders. A major strategic benefit of Ondas Capital is its global footprint. We are anchored here in The United States, we now have forward offices and key allied innovation in financial quarters, including Boston, New York, Kiev, Tallinn, London, and Frankfurt. Being on the ground in Eastern Europe and Ukraine is a critical advantage. It allows us to directly access cutting-edge combat-proven technologies while working side by side with our partners and allies at the frontline of innovation. This complements our deep operating experience in Israel, where we've demonstrated how to take advanced defense technologies and scale them successfully through production, global partnerships, and commercialization. We believe Ondas Capital will become a cornerstone for strategic growth, international collaboration, and industrial resilience while creating new pathways for financial and operational expansion across the Ondas Group. And finally, in the interest of time today, keeping my comments brief, but I'm pleased to share that we plan to host a dedicated Ondas Capital investor call in December. James Acuna, who is leading this initiative, will join me along with our leadership team to provide a deep dive into the opportunity, business model, and financial plan for Ondas Capital. We're incredibly proud of the progress to date and I look forward to sharing much more very soon. I will now hand the call to Neil to provide a detailed financial update. Neil?
Neil Laird: Thanks. Thank you, Eric. As I get started, I wanted to remind our investors that our financial statements reflect the early stage of platform adoption for our products. And the initial success of our acquisition program. We expect to demonstrate a significant revenue increase over the next few quarters, both from organic growth and from our acquisition pipeline. Revenues increased over 580% to $10.1 million in the third quarter, up from $1.5 million in the third quarter of last year. This increase was driven by OAS revenues, which were $10 million compared to $1 million a year ago. It reflects the ongoing deliveries of Iron Drone and Optimus Systems, and contributions from Apero ground robots related services. Under contracts from military and public safety customers. Gross profit was $2.6 million, representing a 26% gross margin in the third quarter. As compared to a gross profit of $50,000 in 2024. The increase in gross profit year over year results from increased higher margin product revenue at OAS. Compared to lower margin service and subscription revenue in 2024. Gross margins can be volatile on a quarter-to-quarter basis due to revenue levels that reflect the early stages of platform adoption, certain fixed service costs reflected in our cost of goods sold, and shifts in revenue mix between product development, product development, and services revenue. Operating expenses increased to $18.1 million for 2025 as compared to $8.7 million in 2024. An increase of $9.4 million. Our operating expenses increased primarily due to an increase in personnel costs as we are investing in leadership to support our business growth and strategic initiatives. Those operating expenses include an increase of $5 million of noncash items. Cash operating expenses, which exclude non-cash items such as stock-based compensation, depreciation, and amortization, were $11.6 million in 2025. Compared to $7.2 million in 2024. An increase of $4.4 million. The increase in cash operating expenses is due primarily to higher personnel costs. Particularly with the OAS operating infrastructure build-out and similar Ondas Holdings. Similarly, at Ondas Holdings to support expected business expansion in the coming quarters and the company's strategic growth plan. Adjusted EBITDA loss increased $1.7 million to a loss of $8.8 million for the current quarter. The operating loss was $15.5 million compared to $8.7 million in the third quarter of last year. Now let's turn to the cash flow statement. We had cash of $433 million as of 09/30/2025. Compared to $30 million as of 09/31/2024. Cash used in operations for the first nine months remained relatively flat at $26 million compared to $25.4 million for the first nine months of 2024. Cash used in investing activities for the first nine months of 2025 included a handful of strategic investments as indicated on the slide. We find these investments as a good use of cash and expect much higher returns than money market investments. We have discussed in detail the strategic relationship with RIF previously as it relates to investments in companies such as Lightpath, Copen, and Safepro, we believe we have unique expertise to evaluate the opportunity for financial return. And these companies also offer strategic business relationships within our partner ecosystem. We generated cash from finance activities of $448.2 million during the first nine months of 2025. The majority of this came from the equity offerings in June, August, and September. In addition to $24.7 million from the exercise of warrants and stock options. We expect operating cash utilization to continue to improve in the coming quarters. Improved cash efficiency comes from operating expense leverage at our OAS business unit, given our expectation of increased revenue and gross profit growth over the course of 2025, and into 2026. Further, our partnership with Clear, which we expanded in July, will support our revenue growth, including for revenue streams we add through our strategic acquisition program. This working capital is non-dilutive credit facilities to fund certain inventory and accounts receivable balances. Again, we held cash of $433.4 million as of 09/30/2025. Compared to $30 million as of 09/31/2024. We are pleased with the results of our program to improve the structure of the balance sheet. By raising cash and converting debt. Shareholders' equity as of 09/30/2025 was $487.2 million compared to $16.6 million as of 09/31/2024. Furthermore, Ondas' pro forma cash balances were $840.4 million and stockholders' equity was $894 million adjusted for the $47 million in net proceeds raised in an equity offering on 10/07/2025. And before cash used for operations and to finance acquisitions and investments in the fourth quarter. And I'll hand it back to you now, Eric.
Eric Brock: Now when we transition to a review of our business units and ask Markus, Oshri, and Meir to provide updates on business development activity and operations at OAS. Start first with Markus who is moving OAS on our DOT 16 platform deeper into the railroad operating groups which will eventually have its rewards. Markus?
Markus Nottelmann: Thank you, Eric. It's great to be here and to update you on some of our key initiatives and developments in Q3. To pick up from our last earnings call, support throughout the rail sector continues to build around DOT 16 P, the IEEE standard that Ondas has pioneered and continues to support in advance. In September, the Wireless Communications Committee, a specialized working group within the Association of American Railroads, announced that it has selected DOT 16 for all new developments in the AAR-owned frequencies. This represents the AAR's commitment to 16 not only on the 900 and 450 but also on the 160 megahertz network. Again, this means that all of the AAR-owned frequencies are destined to adopt DOT 16, the DOT 16 wireless platform. As outlined in the Q2 earnings call, the 160 MHz network has characteristics that make it a compelling case for railroad investment. Specifically, the 160 megahertz network is ubiquitous. Where there is rail, there is 160 megahertz coverage. This is the frequency where the railroads through the AAR own and operate 1.3 megahertz of spectrum, making it ideal for larger data-intensive IoT applications. Of the railroad-owned spectrum, the 160 megahertz frequency also has the best propagation characteristics. Making it ideal for difficult terrain and dark territory. Addressing dark territory applications by providing connectivity for railroad applications and staff represents a substantial opportunity for Ondas Networks. I would like to highlight how quickly momentum is building around DOT 16 on the 160 megahertz network. In Q4 and early next year, we are running several separate field trials on Class I and other railroads. Three railroads that in aggregate address long-term industry needs in significant markets. Specifically, these POCs address clear communications, signaling, and connected wayside topics. As well as general connectivity topics for connected railroad workforce. This is significant as it moves Ondas Networks from engaging with railroads on individual use cases to implement true DOT 16 general-purpose networks, which adding safety, and operation-enhancing applications becomes plug and play. On the revenue front, we will be shipping the first Northeast Corridor access production unit at the end of Q4 with further deliveries in 2026. We take pride in the fact that our products will be used for a safety-critical positive train control application in the Northeast Corridor on Amtrak. Our joint development program with Siemens Mobility India for Head of Train Radios has also progressed to deliveries and revenue within the next several months. As many of you may be aware, in July, the Cybersecurity and Infrastructure Security Agency, also known as CISA, issued a notification related to the security issues with the current generation head of train and end of train communications protocol. This has given railroads a significant reason to accelerate the finalization of the HOT EOT generation four point zero specifications. Given that the DOT 16 protocol that Ondas Networks developed for MGAG addresses those relevant security issues. In September, the Wireless Communications Committee announced that the NGHE specifications will be completed in 2026. We continue to engage with the HOT and EOT manufacturers on design and product development tasks to take advantage of the updated WCC timeline. We also continue to engage with the railroads specific 900 megahertz applications. Though timelines of large network deployments remain uncertain. The 900 megahertz timelines are frustrating, though we are creating even more compelling opportunities in addition to the 900 megahertz network with the railroads. And believe the market and financial opportunity for our DOT 16 technology remains significant. Overall, we are pleased with the commitment the industry is making to the adoption of DOT 16. Our direct engagement with railroads and vendors of Wayside and telematics devices is accelerating the build-out of the DOT 16 ecosystem. We expect will lead to accelerated commercialization and believe we will be able to demonstrate the beginning of the adoption curve in 2026. I will now hand the call back to Eric.
Eric Brock: Thank you, Markus. I will now ask Oshri Lugasi to take the floor and provide a business update for the OAS business unit. Meir Kliner will also share some context on the progress of the build-out of the OAS operating platform. We will also be joined by Tal Cohen, the Founder and General Manager of Centrix, who will introduce the company, its technology platform, and the strategic fit with Ondas in our IronDrone platform. Oshri, please proceed. Thank you, Eric. During Q3, we made a huge leap forward
Oshri Lugasi: in building Ondas Autonomous Systems into a true defense tech and security firm. We are working relentlessly toward our vision of delivering next-generation autonomous and connected solutions for defense, homeland security, and critical missions. OAS is shifting rapidly. We are dramatically expanding our talent base, our partnerships, our customer reach, and our technological capabilities. In the upcoming slides, we will elaborate on how these elements are driving our growth. Our vision is to integrate advanced technology, resilience, and scale to create the autonomous infrastructure that nations and industry will rely on. Our goal is bold and global, to build a powerful global leader that delivers a complete portfolio of defense and security capabilities to the most important customers tasked with keeping the world safe. We are particularly focused on protecting from the surge in threats posed by drones. We are prioritizing combining sensors that can detect and track threats from small UAVs to large ones with effectors capable of neutralizing them safely, protecting the world's most critical assets. We aim to reinforce national borders and forces with cutting-edge technology, enhancing surveillance and intelligence capabilities, protecting civilians in cities, and securing essential infrastructure that sustains modern life. Across all our systems, we integrate advanced AI at multiple levels of autonomy. From prompt-assisted to fully autonomous, powered by some of the most sophisticated robotic technologies in the world. As we promised in our last meeting, we've built real momentum and equipped OAS with much stronger commercial, operational, and technological muscles. During the quarter, we delivered record-high revenues of approximately $10 million, marking the strongest performance in our history. Our backlog grew to $22.2 million at OAS as of September 30. And was more than $40 million when including the announced acquisitions. Further, our customer pipeline remains robust, and we expect to close the year strongly with further backlog expansion. Indeed, we are tracking significant pipeline activity that we hope to share in the near term. This will support accelerating growth momentum into 2026. We advanced our M&A and strategic growth program and completed multiple strategic acquisitions which are adding immediate operational and financial value to Ondas. We established new partnerships and onboarded top talent to strengthen and expand OAS' operational infrastructure. We achieved several important milestones across our portfolio. Optimus was officially listed on the GreenUAS framework with inclusion on the Blue UAS list pending with the US DOD. At the same time, we continued to expand our global pipeline for the Iron Drone Raider, strengthening our position in the fast-growing counter-UAS market. We successfully executed multiple counter-UAS pilots in the US, Europe, and Asia, demonstrating interoperability across our systems. Our Iron Drone Raider was showcased at the Intercom Counter-UAS ID ICE 2025 exercise in San Diego, drawing strong interest from both US and international agencies. We have performed several similar demonstrations for US customers which have been well received. Our Iron Drone Raider was selected by Security Turn Germany, a leading integration partner to the German Armed Forces and other critical security operators. Following successful system integration and demonstrations conducted in Germany by Robotics, we expect this hard work to turn into demand in the coming months given the urgent need to protect critical infrastructure and borders in Europe. Ondas is positioned to lead here. Of course, our market position is even stronger with the addition of SentriX, which opens a tremendous opportunity to market a layered counter-UAS solution suite. Similarly, our US pipeline continues to mature aligned with the growing demand for advanced defense and security solutions. Our marketing partner, Mistral, is helping support a growing and maturing set of pipeline opportunities with defense and homeland security customers. We formed a partnership and made a strategic investment with Rift Dynamics, including an initial order for the WASP FVP drone. Rift is making impressive progress in Europe with the WASP, and we are excited to support the global success, of course, including in the US. On the production side, we launched NDAA-compliant made-in-US fiber optics tools at American Robotics. Strengthening our domestic production base. We have also advanced the required work to prepare the US supply chain for Optimus and Iron Drone and expect to have US-built systems available in Q1 2026. Finally, we continued scaling our operating platform through key leadership additions, most notably the appointment earlier this week of Major General (Retired) Johava Reven, former CEO of Rafael Advanced Defense Systems, to our advisory board. His experience and insight will significantly enhance our strategic depth as we continue expanding OAS globally. I will now pass the call to Meir Kliner, who will share an update on the M&A program and the operational scaling activities at OAS. Meir?
Meir Kliner: Thank you, Oshri. During the quarter, we accelerated the execution of our strategic growth program, which drives value creation through accelerated growth and a clear path to profitability. The first start after outlining the plan for investors in July, leveraging the work and the preparation we began earlier in the year. Our acquisition program is off to a fast start after outlining the plan for investors just last July, which is leveraging the work and the preparation we began earlier in the year. Our M&A strategy remains highly focused and disciplined, targeting companies and technologies that expand OAS' commercial reach and strengthen our product ecosystem. Each acquisition we made contributes a unique within our multi-domain architecture, allowing us to integrate aerial, ground, and other critical elements and systems into a unified system of systems. This integration merges ISR, counter-UAS, robotics, communications, and sensing technologies under one interoperable platform. Synergies accelerate customer solution delivery, enhance revenue growth, and increase operational leverage through OAS' scaled infrastructure and position OAS as a next-generation multi-domain defense and security leader. We are building a scaled and interoperable platform by bringing together a group of highly complementary companies, each representing a critical pillar of defense autonomy. In the last several months, we made significant progress in expanding the OAS platform through strategic acquisitions, adding five new companies and bringing critical capabilities, technologies, and customer relationships to our group. These acquisitions strengthen OAS across critical operational domains, including air, ground, and cyber, while expanding our global footprint with Tier one defense and security customers. With SPO, we are now engaged in critical components for missiles and advanced drone systems. Reinforcing our access to the defense supply chain. Vampiro Motion marks our entry into ground robotics and payload systems, a key capability for border defense and maneuvering forces operating in complex terrain. FOREM defense expands our sub-ground and engineering platforms, enabling OAS to participate in land clearance and demining operations. Which are essential to modern defense missions. In the counter-UAS domain, our primary focus area, we added Insight Intelligent Sensors, which delivers electro-optical and AI-driven identification of hostile drones. And SentriX, which we are entered into a definitive agreement with. Whose CyberOver RF technology provides one of the most effective and precise counter-UAS solutions available. Capable of neutralizing threats with minimal collateral impact. And with TCL, which we acquired in July, we have further strengthened our elite engineering team, adding important capabilities valued by our defense customers. Together, these companies significantly enhance OAS' technological depth, operational diversity, and customer reach. Solidifying our position as a next-generation multi-domain technology leader. We don't have time on a quarterly call to do a deep dive into the recently acquired companies. But we will expand on SentriX and ask Tal Cohen, SentriX founder and general manager, to share some thoughts in a few moments. As we continue to scale Ondas Autonomous Systems, we are building a strong operational infrastructure that connects all elements of our business, from our core operations and acquired companies to new talent and an expanding partner ecosystem that supports growth. Our goal is to create a fully integrated operating platform that accelerates execution and enhances efficiency across the group. This integration is being supported by the establishment of a senior leadership layer at OAS, which will manage the integration and growth of the acquired businesses. The expanding OAS leadership runs across the critical disciplines, including sales and marketing, supply chain and field support, HR, legal, and finance and accounting. We are expanding our go-to-market capabilities, aligning our global sales teams, partners, and customer networks under one commercial framework. At the same time, we are strengthening our operational backbone. Unifying manufacturing, distribution, and technology resources to support higher production capacity and faster deployment cycles. We also brought in new leadership and advisory talent to help guide execution and drive collaboration across all subsidiaries. Finally, by connecting our technology platforms, talent, and ecosystem partners, we are establishing the foundation for sustainable scale and long-term value creation as a multi-domain defense and security leader. The integrated structure is transforming OAS into a true multi-domain defense network, where each company strengthens and amplifies the others. Merging aerial, ground, sensing, and cyber into one interoperable, scalable, and autonomous system of systems. Our counter-UAS segment, a key area of focus and growth, will be anchored by the integration of IronOne and SentriX. Together delivering a complete hard and soft kill capabilities under a unified command and control architecture. This system of systems framework is now coming together, with each company contributing a critical capability to the broader OAS defense technology ecosystem. And as we move forward, we will continue adding companies and technologies to complete our portfolio and further strengthen OAS' position as a next-generation defense and security leader. I would like to take a moment to focus on SentriX. SentriX will expand OAS' global reach to tier one defense, public safety, and security agencies. Organizations actively protecting critical infrastructure across more than 25 countries. SentriX Cyber over RF technology represents one of the most advanced counter-UAS solutions in the market today, enabling safe, precise, and regulation-compliant drone neutralizing without jamming or collateral interference. SentriX technology is already field-proven, deployed globally across airports, defense facilities, and public safety operations. Demonstrating extended range, multi-target engagement, and adaptability to evolving radio technologies. This acquisition will position OAS with a unique soft kill capability. Perfectly complementing IronOne's hard kill system. And together, they create a comprehensive counter-UAS architecture unmatched in the market. I will now hand the call over to Tal Cohen, general manager of SentriX, to review the company and this market of counter-UAS. Tal?
Tal Cohen: Thank you, Meir, and thank you for having me today. At SentriX, we are truly excited to join Ondas. We believe this partnership will create a significant opportunity to deliver together with Ondas the ideal solution to the evolving drone threat that has rapidly emerged over the past few years. I am pleased to highlight how SentriX is driving a major advancement in our Counter Unmanned Aerial Systems capability through our proprietary CyberOver RF technology or COF in short. COF works differently from a traditional jamming or kinetic solution. Rather than broadly disrupting signals or deploying interceptors, SentriX's system interacts directly with a drone communication protocol, the language between the drone and its controller, enabling us to detect, identify, track, and then assume control of a hostile drone in seconds. Some of the operational advantages stand out. Rapid deployment and simplicity. SentriX system can be deployed in minutes, in a single Pelican case or mobile. Precision and safety. COF ensures zero interference with authorized drones, GPS, or nearby communication systems. Enabling safe mitigation in civilian, critical infrastructure, and defense environments alike. Proven global performance. SentriX is already trusted by 25 countries. By integrating SentriX into the OAS architecture, alongside our aerial platforms, ground systems, and sensor networks, we will be delivering a complete detect-to-defeat CUES ecosystem. SentriX brings the software layer of precise, cyber protocol takeover, which pairs organically with our Kinetic Platforms for hard kill response. As drone threats become more agile, more numerous, and more diverse across borders, critical infrastructure, and contested environments, the COF capability gives us the scalability, agility, and compliance required for today's multi-domain defense posture. In short, with SentriX on board, we are not just reacting to drone threats. We will be proactively controlling them. Safely, reliably, and at scale. SentriX's global footprint is growing rapidly. We have now successfully deployed our solution in more than 25 countries, demonstrating the strong demand and the proven value of our technology for customers across the defense, security, and public safety sectors. SentriX has reached more than 200 global deployments. Reflecting strong and accelerating international adaptation among Tier one defense and security agencies worldwide. In Europe, we are active in 13 countries with 74 deployments, achieving 24% year-to-date growth. In Asia, we have expanded across six countries with 82 deployments, growing 32% year-to-date. And in North America, we have seen the fastest growth, 21% year-to-date, with 34 deployments across three countries. We are also extending our presence in Africa, South America, and Australia. Through new multi-agency programs that highlight the scalability and versatility of our COF COUNTER US technology. Altogether, this demonstrates not only the global scalability and operational readiness of SentriX, but also how this capability will reinforce OAS' position as a trusted provider of field-proven, multi-layered CUES solutions for defense and critical infrastructure protection. A combined solution will allow detection, mitigation, and situational awareness under one coordinated architecture. We start with SentriX. Which provides the first line of defense through its cyber over RF technology. It delivers long-range detection, tracking, and identification of drones and enables safe cyber-based mitigation, taking control of the hostile drone and landing it without jamming or collateral interference. This also gives us critical intelligence, real-time insights, into the drone's identity, behavior, and even its operator's location. Next, we add the Iron Drone Raider. Ondas' autonomous kinetic interception system. It is designed to automatically intercept and defeat any drone threat. Including those that operate without radio control or GPS, completing the full spectrum protection layer. Finally, both systems feed into a unified situational awareness interface. Where data from SentriX and IronDrone are fused into a single automated operational picture. This integration allows operators to detect, track, and neutralize threats in real-time. While reducing the workload and improving decision-making accuracy. Together, these capabilities will deliver comprehensive counter-UAS architecture, one that covers every threat type, across every environment, with precision, safety, and automation. When we look at the broader counter-UAS market, the opportunity ahead of us is extremely significant. Global demand for counter-drone technologies is projected to grow from roughly $2.4 billion in 2024 to over $10.5 billion by 2030. Representing a 27% compound annual growth rate. This growth is driven by the rapid escalation of drone threats across defense, homeland security, and critical infrastructure sectors. And by increasing government funding and regulation worldwide, as we are seeing strong momentum across all regions. SentriX is already well-positioned in each of these markets, with active deployments and a proven track record supporting tier one defense and security agencies. If we move to the revenue outlook, SentriX continues to demonstrate exceptional growth, maintaining a triple-digit compound annual growth rate. With bookings expected to more than triple over the next few years. The company also sustains a strong gross margin in the upper 70% range, underscoring the scalability and efficiency of its technology platform. Demand continues to increase across Europe, The United States, and Southeast Asia. Fueled by both the rising number of drone incidents and the urgent need for compliant, effective, and automated defense solutions. Our Cyber Over RF approach provides exactly that. A simple, safe, and proven method to detect, identify, and neutralize drones without causing collateral interference. Positioning SentriX and OAS to capture a meaningful share of this rapidly expanding $10 billion market. That will conclude my remarks. Thank you for having me here today. We are excited about what's ahead of us and look forward to sharing more great news with you soon. With that, I'll hand the call back over to Eric. Eric,
Eric Brock: Thank you, Tal. As you know, we are thrilled to have SentriX join the Ondas team. We see exceptional talent at SentriX combined with market-leading technology, which we believe is extremely well-positioned for the massive addressable market opportunity we have outlined. We believe Ondas is building a very strong position in front of a coming boom in CUES infrastructure deployments globally. We'll now turn to the outlook for Q4 and take a quick look into 2026 as well. As we highlighted throughout the year, our programmatic M&A effort remains very productive. And we believe it will continue to be highly accretive for our investors. We'll continue to build our corporate development team, and as we expand our capabilities, we're seeing the pipeline mature rapidly. Just as importantly, we're seeing significant inbound interest from potential partners, investors, and acquisition candidates who view Ondas as a strategic home for their technologies and businesses. The pipeline isn't just maturing, it's broadening. We're now seeing more established and operationally mature companies emerge as relevant targets, and that's exciting. It speaks to the strength of our reputation and the scale of opportunity we're creating for 2026 and beyond. At present, we have over 20 companies in the active M&A pipeline, with advanced activity with seven potential targets. Collectively, these opportunities represent more than $500 million in potential additional revenue, highlighting the material impact our strategic growth program can have as we continue to execute. We believe this momentum positions us for a very strong 2026, one where our acquisitions and partnerships will not only add scale and capability but also drive higher operating leverage, faster growth, and sustained profitability. Ondas is building a platform designed for expansion. We are confident that the next phase of our M&A program will continue to strengthen both our business and long-term shareholder value. Let's turn to the financial and operational outlook. As we have highlighted, Ondas continues to build momentum, and we expect to see strong growth across all areas of the business led by OAS, as we move through the balance of 2025 and into 2026. We believe we can comfortably meet the financial and operational objectives we outlined earlier this year. And today, we're updating those targets to reflect our progress and visibility. For the full year 2025, we are now raising our revenue target to at least $36 million, which puts our Q4 revenue target north of $15 million. Looking ahead, we're also providing our first formal view into 2026. Based on the visibility we have today, we are targeting at least $110 million in revenue for 2026, and I would note that this number may in fact prove conservative given our expanding customer base, backlog, and maturing customer pipeline as well as our expanded M&A opportunity set. We also expect to announce additional acquisitions during Q4, continuing to execute our strategic growth program. As we stated previously, we continue to target the addition of a U.S. DoD or DHS customer in 2025, which will represent another major milestone for the company. Of course, acquisitions would be accretive to our 2026 outlook. As it relates to Ondas Networks, we are heartened by the AAR's expanding commitment to DOT 16, with three major private wireless networks now formally designated for upgrade with 16 technology.
Neil Laird: However,
Eric Brock: We do believe we will see meaningful adoption by the railroads in 2026, and this will help reward our investors for the strategic value we are creating with Ondas Networks. Until we see the orders, our outlook today reflects only modest revenue expectations from Ondas Networks relative to the OAS business. We will also continue to be as communicative as possible with our investors. To that front, we plan to host two dedicated events: an Ondas Capital Investor Day in December, where we will dive into that business unit's strategy and investment roadmap, and an OAS Investor Day in January, which will update our business plan from last July and focus on our plans to scale our operating platform, capture new customers, as well as share our technology roadmap and a detailed financial plan for 2026. In summary, Ondas is executing on all fronts. We're growing, scaling, and expanding strategically. We built an exceptionally strong foundation, and we're positioned to deliver a year in 2025, setting the stage for even greater performance in 2026. Before we wrap the call and take investor questions, I want to briefly revisit how our financial and operating models are designed to accelerate shareholder value creation. Of course, that's the bottom line for me and our leadership team, and also the bottom line for you. The formula here is straightforward. And it's working. Our core growth plan is delivering momentum in massive end markets that are still in the early stages of a ten-plus-year adoption cycle. We're driving revenue acceleration, and as we continue to scale, we're generating operating leverage across the platform. That combination with sustained growth and capital efficiency gives us visibility into increasingly profitable growth over time, which we believe will support a premium valuation for Ondas. On top of that is our strategic growth plan, which amplifies those returns leveraging our access to low-cost capital. With a premium-valued operating platform, we're able to acquire premium capabilities and do so in a way that's highly accretive to both earnings and long-term value. Together, these models, our core operations, and strategic expansion create a powerful cycle. We deploy growth capital, we drive operating scale, and we expand platform solutions that open new customer and market opportunities. This is how we intend to continue building shareholder value. Execution, scalability, and disciplined capital deployment that compounds over time. I'm really excited to wrap up 2025 strongly and further excited to continue to leverage our momentum into 2026. With that said, operator, we will now move to take investor questions.
Operator: Thank you. We will now begin the question and answer session. And the first question will come from Amit Dayal from H. C. Wainwright. Please go ahead.
Amit Dayal: Good morning, everyone. Thank you for taking my questions. Eric, very impressive, the speed at which you are executing. Just along those lines, you highlighted that you are pursuing seven deals that you are at advanced stages from an M&A perspective. Just to clarify, if you do close all those seven deals, are you saying annual revenues at least the run rate could exceed $500 million per year?
Eric Brock: No, I'm not saying that. Specifically to the seven targets. We're talking more broadly about the pipeline we outlined.
Amit Dayal: Okay. Understood. And then
Eric Brock: let me just add that that's incremental to it is incremental to the revenue targets we gave for 2026.
Amit Dayal: Okay. So that's where potential upside could come from outside of any other organic developments for you?
Eric Brock: Right. We think it's going to be both paths.
Amit Dayal: Understood. And then as we think about future OAS revenues, how should we think about one-time product to system sales versus any recurring revenue components from those sales?
Eric Brock: I think you're going to see the bulk of what we're doing in the next twelve to eighteen months be the platform sales, so system sales and infrastructure build-outs. As we outlined in the July Investor Day, that's going to look and feel like recurring revenue because we've got this ten-year cycle. And as we build that installed base, we'll be increasingly putting services behind that. I'd also add that early here, we're seeing significant demand from defense markets. Those tend to be purchases. As you see us build the pipeline and start to pull that through, on the commercial side that lends itself to as drone and data as a service model. So you see that mix start to shift as well when commercial starts to grow.
Amit Dayal: Got it. Thank you. Just one more for me and then I'll get back in queue. With all of this M&A activity, how quickly can you eliminate sort of overlapping overheads from these recent acquisitions?
Eric Brock: Well, we really took some great pains today to outline that leadership team and that OAS operating platform layer that we're establishing. And that's going to be a significant leverage point for us. At the same time, the companies we're acquiring are growing quite a bit themselves. So what we're hoping to do and believe we can do with this operating platform layer I described is accelerate revenue growth but also the capital efficiency. And I don't think that means that we're going to have to be reducing costs with acquired companies. We're bringing on talent I think we're going to be growing that talent as well. Got it. That's all I have there. Thank you so much.
Amit Dayal: Sure.
Operator: And the next question will be from Mike Latimore from Northland Capital Markets. Please go ahead.
Mike Latimore: All right, great. Yes, congrats. Many exciting developments here. I guess as you look at the guidance for 26, does that get you to EBITDA positive?
Eric Brock: We still believe that the operating businesses will be EBITDA positive by the second half of next year. And I think that case is even stronger as we're building the scale through the revenue additions. And let's stay tuned. We did say we're going to have a conference call in the first half of January to lay out the business plan and then the financial model for 2026. And there, we'll give you a sense as to when we can cover the holding company costs.
Mike Latimore: Got it. And then the SentriX acquisition sounds very positive. I guess as you think about the counter-UAS or counter-drone market, do you expect most of your prospects to buy both SentriX and Iron Drone? Is that going to be a logical fail? Or would you have a big tranche in one category versus the other?
Eric Brock: I think it depends on where these systems are going to be deployed. As you know, these are layered technologies. In many places, having the soft and hard kill will be appropriate. In certain locations, having one may be more appropriate. So we'll have to see how that plays out. But we do feel like we're in a very strong position as subject matter experts and the technology we can bring that are operational best in class that we can have a great deal of efficiency and guidance value in guiding our customers to what those layers look like at specific locations.
Mike Latimore: And just last for me. In terms of The U.S. Market, which sort of product categories seem most promising for The U.S? And maybe which type of government or government agencies seem most promising?
Eric Brock: I'd say they're all promising for sure. We do see quite a demand signal here from the Department of Defense as well as DHS. A critical infrastructure market even for in public safety, for the counter-drone. So as we look into 2026, we expect the counter-drone to likely lead the charge. However, we're going to see growth really across the board.
Mike Latimore: Okay, great. Thanks a lot. All right, great. Thanks, Mike.
Operator: And the next question is from Tim Horan from Oppenheimer. Please go ahead.
Timothy Horan: Thanks. I got about 20 questions, but I'll keep it to three. Eric, it doesn't seem like Europe has much in the way of near air defenses at this point, but it sounds like it has been deployed in the locations. But is that pretty accurate? And I guess do you have the platform now to kind of go protect or sense and protect the nuclear facilities and other facilities coming? Can that be up and running relatively quickly?
Eric Brock: So, yes, you're right. I think Europe and it's really true globally that the counter-drone infrastructure build-out really is just in its infancy. The batter is just coming for the first pitch. So we see a lot of greenfield here. At the same time, Europe is likely uniquely pressured here because of the war in Ukraine is on their doorstep, and you're seeing many reports consistently of drone threats emerging in Europe. So we think there's urgency across Europe to protect critical infrastructure, you mentioned power plants for sure, airports, other critical assets, bases, borders. We see a significant demand there. So I do think this is going to be a place that's going to be very fruitful for us.
Timothy Horan: And it sounds like SentriX is deployed in a bunch of locations. Is there any evidence that their technology works to protect these locations? Yes.
Eric Brock: Oh, yeah. There's tons of evidence and you can see it in the customer expansion. So this is a very robust proven technology and capability and we think that growth curve is going to be sustained.
Timothy Horan: So on Mike's question of integrating Iron Drone with SentriX, when will that actually be accomplished? When can you start deploying the platform, yeah?
Eric Brock: Let's I'm going to defer that to our call in January. I don't want to put the timelines on that. I will add that the detection piece of what SentriX does is critical for the hard kill. You have to identify the threat to go mitigate. In Iron Drone, we have been integrating many different detection technology platforms. And we think that's going to be pretty straightforward for us to do with SentriX as well. But we'll give more specifics on that in January.
Timothy Horan: Great. So I guess lastly, how much does it cost to protect an airport or a site? Do you think both the upfront cost for the customer and the ongoing annual cost?
Eric Brock: Like always, it depends, Tim. It depends on how many, you know, are they deploying a detection technology? Are they doing the soft kill? Are they adding hard kill, so it depends. But it can run into the millions of dollars per airport, sure.
Timothy Horan: And is that an annual recurring fee, do you think? Or how does it come about like the upfront for annual recurring?
Eric Brock: There are recurring fees on that, but yes, it again depends on what's being deployed. And I think we'll be able to lay that out in January, the financial models around this.
Timothy Horan: Thank you.
Eric Brock: Thank you.
Operator: And the next question is from Austin Delhaig from Needham. Please go ahead.
Austin Delhaig: Hey guys, thanks for taking my question and congrats on the great results. First question, guys, is kind of on the new 2025 guide. The $11 million in uptick, it sounds like some of this organic success that's higher than your expectations or is the majority of this uptick coming from the recent acquisitions?
Eric Brock: It's both. I mean, we're going to be just to be clear, run the businesses that OAS is one unit and we have two business units on this that works in OAS. And that's what we're going to be presenting to you on a go-forward basis. But the from the acquisitions, and the core business as well. In terms of contribution in Q3, we did highlight that Apero was additive, but we're seeing strength.
Austin Delhaig: Okay. And then looking at kind of your guys' 2026 guide, how much additional M&A is baked into that $110 million number?
Eric Brock: There's no additional M&A. It's only the acquisitions we have announced. It does include the SentriX acquisition, which we expect to close soon.
Austin Delhaig: Okay. Okay. And then last question. Like understanding gross margins can kind of bounce quarter to quarter, but maybe like on an annual basis, how are you guys thinking about those trending next year? Obviously, with the SentriX 70%, that's to be very accretive. But just trying to get a sense from a modeling perspective.
Eric Brock: Yes. So you'll see gross margins improve certainly into 2026. We've talked about 50% as our target. I still want to keep it there. However, let's see when we meet in January. We'll have a more precise outlook on that. But I do think 50% is a very comfortable number. And from there, I think we can see upside.
Austin Delhaig: All righty. Well, thank you guys again and keep up all the great work.
Eric Brock: Great. Thanks, Austin.
Operator: And the next question will come from Glenn Mattson from Ladenburg. Please go ahead.
Glenn Mattson: Yes. Hi. Thanks for taking my call. Another one on SentriX. For me, you don't mind. Can you just talk about the obviously, there's EV capabilities because it can integrate it with all the other counter-UAS and technology that you have. But can you help us understand how unique it is versus what other people have out there in terms of other soft kill solutions or drone capture takeover just kind of help us understand that a little bit.
Eric Brock: Sure. Maybe, I'll ask Meir or Tal to, Tal you're probably equipped to take this.
Tal Cohen: I'm trying to assist. So just to make sure I understood the question correctly was what is the difference between general or additional or other effect also soft capabilities to temporary capability?
Glenn Mattson: Yeah, the correct What was the question?
Tal Cohen: Yes. So our question is based is excellent during the presentation on the cost Cyber Overhead capability. Meaning we can first detect and track and identify the drone in a passive manner. So we are not emitting or creating any interference whatsoever. And I think the most important part is for the mitigation we assume control over the drone with starting to communicate quite fine while communicating with the drone and not by doing any jamming or inflicting any other communication collateral damage. So it's a very short, very safe, very limited, and precise surgical and soft kill technology.
Glenn Mattson: Appreciate that. And to your knowledge, there's no one else doing something similar in terms of being able to do drone capture such as like that without interfering with other communication technologies.
Tal Cohen: Yeah. Our other capabilities that are doing and that are trying to do the same or to use the same technology. But currently, the technology is quite rare and very effective.
Glenn Mattson: Great. Very I'll add I'll add, Glenn, if I
Eric Brock: if I could say in our assessment of the market, the SentriX solution was hands down the most robust. And I'd also contrast this just to be make sure it's clear. We're not talking about jamming or spoofing radio links or GPS, we're talking about the cyber over RF. Which has significant benefits in performance. This is the taking control of the drone and then landing it. So it's the threat to mitigate it.
Glenn Mattson: Very helpful. The last question I have is just on the guidance for 26. You talked about margins a little bit. That must give you some sense of like the mix that you anticipate from all these different products that you now have. Can you just give us some like the confidence level in that mix and in that guidance just kind of I think you talked about tracking the pipeline activity just is it a portfolio various Yes. On the margin side,
Eric Brock: yes, I get the question. On the margin side, we're quite confident that margins will trend higher from these levels in 2026 as we get scale and the mix certainly is going to improve as well.
Glenn Mattson: Great. Okay. Thanks, guys.
Eric Brock: Thanks, Glenn.
Operator: And the next question is from Matthew Galinko from Maxim Group. Please go ahead.
Matthew Galinko: Hey, thanks for taking my question and congratulations on the quarter. I wanted to ask about just working capital, particularly inventory as we kind of see revenue scale pretty quickly. Is there should we expect a pretty significant buildup in inventory and critical components? And maybe as a follow-up to that, just how you feel on production capacity and any bottlenecks there that could limit the ramp? Thanks.
Eric Brock: All right. So I'll take the latter first. We believe we have ample capacity to meet this plan in our planning. So I'm not too concerned about that. Of course, it's going to be hard work. Oshri did highlight that we're making a lot of progress in The U.S. in terms of production on the drone platform. Platforms, IronDrone and Optimus. So we do believe that in Q1, we'll start to add systems here and that's going to be able to meet demand we see here. So I feel pretty good about it. In terms of working capital, we'll probably be building a bit of inventory, but I don't find that too challenging. Obviously, we're well-capitalized. We will focus at the same time on our cash conversion cycle. So we'll probably be able to give you more details on at that meeting in January.
Matthew Galinko: Great. Thank you.
Eric Brock: Sure. Thanks, Matt.
Operator: And the next question is from Jonathan Sigman from Stifel. Please go ahead.
Jonathan Sigman: Good morning, Ondas team. Thank you for taking my question. And congratulations on all the progress. Just the operating platform that you're putting together is really pretty unique and I don't recall anyone having so much rapid success with acquiring businesses in a new industry like you are. I would love to hear how you're thinking about putting in incentive systems for your teams. Understand you'll give us more metrics in January. Just would like to hear a little bit about how you're thinking about the philosophy and how you measure performance and balancing the individual units and driving towards success the integrated whole. Thank you.
Eric Brock: Yes. Thanks, John. So you first mentioned that the speed of the M&A, and that is I think that observation is spot on. We've articulated this really as an opportunity, probably a once-in-a-generation opportunity to provide a scaled platform for these important technologies, and I won't belabor that. But yes, we're moving fast and putting together the leadership team and incentivizing that team is really critical. And I think what we're doing is building a situation where we'll participate in the upside. So as we grow the business, certainly going to be able to increase cash compensation. But at the same time, we're also using incentives, and we find those to be very, very successful. The team that we're putting together believes in the mission, there's a lot of excitement about the success we're having. So that certainly helps reinforce the performance even in our productivity. So I like that flywheel. And I guess that's really the answer. It's we're not doing anything unique on that front, would say. But I think our team and I think the perspective management teams that we're talking to on the M&A side are excited about building a big company because, of course, they're looking at it as an opportunity to build substantial equity value. So I think that's kind of worked out well for us.
Jonathan Sigman: Thank you.
Eric Brock: Thanks, John.
Operator: And ladies and gentlemen, this concludes today's question and answer session. I would like to turn the call back to Eric Brock for any closing remarks.
Eric Brock: Okay. Well, thank you, operator. As we wrap the call, I want to thank you again for spending time with us today. As we outlined, we're expecting a strong finish to 2025, and we're focused on sustaining that momentum into 2026. We, as always, look forward to providing more updates along the way, and I think that's probably going to be sooner rather than later. We do have a lot going on. And from here, enjoy the rest of the day. We're going to get back to the important work of building the company. So thank you for attending.
Operator: Thank you, sir. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.